Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Stillwater Mining Company Third Quarter 2012 Results Call. At this time, all lines are in a listen-only-mode later there'll be an opportunity for your questions and instructions will be given at that time. (Operator Instructions) And as a reminder, this conference is being recorded. I'd now like to turn the conference over to host, Frank McAllister. Please go ahead, sir.
Frank McAllister: Thank you, operator. And thank you, everyone for joining us today for Stillwater Mining Company's third quarter 2012 results conference call. We recognize there are many in the East who may not be joining us today or maybe joining this from other locations in their offices, as a result of yesterdays [turmoil], we wish the best to those who were so affected. As the operator indicated, I'm Frank McAllister, the Chairman and CEO of Stillwater Mining Company. And with me today are several members of our management team, including Greg Wing, Vice President and Chief Financial Officer; Terry Ackerman, Vice President of Corporate Development; Kris Koss, Vice President of Human Resources and safety, Ralph Green, Vice President of Exploration; and Rhonda Ihde, our Corporate Controller, (inaudible) Stillwater Mine Manager is standing in for Kevin Shiell, Vice President of Mining Operations, who is not with us this morning. As always, I would first like to remind everyone that some statements in the conference call will be forward-looking, and therefore, involve uncertainties or risks that could cause actual results to differ from our projected results. We discuss these risks and uncertainties in more detail in the company's filings with the Securities and Exchange Commission, including those discussed in our third quarter Form 10-Q, which will be filed later this afternoon. Stillwater's results for the third quarter were solid in spite of a continued volatility of the PGM prices this quarter. Our team continued to perform well in terms of safety, which is really our most important barometer success. Production results and costs were in line with expectations as we recorded that we have -- we have iterated our 2012 mine production guidance of 500,000 PGM ounces and a cash cost guidance of $500 per mined ounce. PGM prices continue to be under pressure during the third quarter. Our total combined average sales realization for the third quarter for mined palladium and platinum was $803 per ounce compared to $850 per ounce for the second quarter this year and $988 per ounce reported for the third quarter last year. The difficult events in South Africa created a slight price spike in September which is now subsided a bit, with current market prices slightly higher than our average for the third quarter. Based upon today's [bullion] prices in London, our market basket would be about $810 per ounce. It appears the most recent South African strike at four Amplats mines near Rustenburg remains unresolved, were 12,000 workers were required to return to work today in order to be reinstated. While the situation at Amplats is yet to be resolved tensions at other mining companies have eased. We conclude this year's lost production from South African strikes at Impala, Lonmin and Amplats from two close South African mines and from lower PGM production at (Inaudible) could reduce, 2012 PGM production by up to an estimated 1.2 million ounces compared with 2011 production. This include 650,000 ounces of platinum or 170 ounces of palladium and 80,000 ounces of rhodium. If correct, these estimates are correct, this would constitute a PGM production drop 9% worldwide 13% for South Africa. The South African labor issues are difficult and while appearing to near a resolution, it is unclear how soon production can return to more normal levels. South African production constitutes between and 55% and 60% of worldwide PGM production, so one cannot overstate its importance. I spoke with representatives of each to South African PGM producers last week, each company is totally committed to a lasting resolution of the issues they currently face for their companies and for their country. Even with the volatility in PGM prices we are experiencing, we continue to be confident in the fundamentals for these metals, specifically palladium. In conjunction with the press release we issued at the end of September, we posted a 15-point review on palladium fundamentals on our website, if you had not had a chance to review this white paper, I would encourage you to take a look. In this document we clarify common misconceptions about palladium, one of the most common deficiencies in understanding, is the fact that today's technology allows a one-for-one substitution of palladium for platinum and gasoline catalytic converters as a result gasoline catalytic converters manufactured today are predominantly palladium based having essentially no platinum and containing only a small amount of rhodium. We believe demand for palladium will continue to intensify worldwide having been strengthened by the price-driven substitution of palladium for platinum and gasoline catalytic converters. Then with a continuing demand driven by expanding automobile production and ever-increasing governmental emission regulations. In conjunction with the expected increase in demand PGM supply continues to be constrained, we believe Stillwater is well positioned to benefit from the favorable longer term fundamentals in this market. Just a point on demand, the auto industry despite current market sentiment is posed to increase its light duty vehicle production over 20% by 2015 with production projected to top 100 million build rate that year. This surge has yet to be factored in with the price for palladium. I'd like to spend a few minutes on our recent financing, earlier this month the company successfully completed the offering of the $396 million of 1.75% Senior Convertible Notes. We are pleased, we were able to complete this offering with the terms we achieved. The offering was well-received by the market and demand was very strong during the offering process. In view of a host of factors, the volatility in the market include – while the capital markets over the last two years, capital uncertainty concerning the upcoming election, the year-end budget negotiations, financial problems within Europe, growth and [vagrant] importance of China and wide swings in metal prices all these volatile factors have become far more difficult for company's generally, and for us specifically to predict and at times to plan for the future. So the completion of this offering, essentially alleviates, some of the short term pressure on the company, and enables our management team to focus on longer term objectives. Particularly we anticipate that our outstanding 1 and 1.875% convertible debentures will be redeemed in March of next year and we intend to use a portion of the proceeds from the recent financing to repay this debt. In addition, proceeds from this offering will be used to help fund our Montana Development projects and support initial development expenditures for the Marathon project. Just a report on our financial results. For the third quarter of 2012 we reported a net income attributable to common shareholders of $13 million or $0.11 per diluted share, this is down from $40.7 million, or $0.37 per diluted share reported for the third quarter last year as the volatility in metal prices hurt our bottom line for the quarter. Total revenues from mining and recycling for this year's third quarter were $181 million compared to $253.7 million for the third quarter of 2011. For the first nine months of 2012 the company's net income attributable to common shareholders was $33.6 million or $0.29 per fully diluted share compared to net income of $119.6 million or $1.10 per diluted share for the same period last year. Mining PGM production in this year's third quarter totaled 127,000 ounces, a decrease of 2.3% from the 130,000 ounces produced during the third quarter last year and 4.8% lower than the 133,400 ounces produced during the second quarter of this year. The differences in production from period-to-period were primarily the result of normal variations in ore grade and mining conditions. Mine production for the first nine months of the year totaled 381,200 PGM ounces compared to 403,800 ounces for the same period last year. Total cash cost per ounce, which is a non-GAAP measure of extraction efficiency averaged $496 for the third quarter, up from $439 for the quarter – per ounce reported for the third quarter last year. This increase is on plan and was driven primarily by lower mine production and higher labor costs as a result of wage increases in the new labor contracts that became effective last year and added hiring in part to support the Company's new miner training program and impart to provide staff for company development projects. The number of Montana's employees at the end of the third quarter increased to 1,629 from 1,493 employees we had at the end of the third quarter in 2011. At the end of the second quarter this year we had a total of 1,599 employees. Total cash cost for the first nine months of 2012 averaged $487 per ounce compared to $419 per ounce for the same period last year. As I mentioned cash cost so far this year are in line with our plans and we're maintaining our full year 2012 total cash cost guidance at $500 per mined ounce. Even with the projected cost increases for the year, for this year I would like to remind everyone that our cash cost are still extremely competitive compared to our industry peers in South Africa. Capital expenditures for the third quarter this year totaled $25.4 million compared to $27.9 million reported for the third quarter last year. For the first nine months of this year capital expenditures totaled $84.7 million, up from $74.2 million for the same period last year. Based on our actual capital spending for the first three quarters of 2012 and our current expectations for the rest of the year we now expect capital spending to be less than previously planned. We anticipate that total capital expenditures will be approximately $127 million down from our previous guidance of $135 million. The revised $127 million total capital expenditure plan for 2012 includes about $91 million for the Montana operations, $23 million for the Blitz and Graham Creek development projects and $13 million for the Marathon project. I should point out that the estimate for the Marathon project is for 100% of the anticipated capital cost and as a partner of the project Mitsubishi will be responsible for a 25% share of those costs. Exploration expense for the third quarter was $1.7 million. Our total year-to-date exploration expense is $13.8 million, with exploration expenditures of about $400,000 for the first nine months of 2011. Most of our exploration expenses were incurred for the Altar project. We revised our exploration expense estimates for 2012 and despite having exceeded our planned drilling program at Altar, we now estimate its exploration spending at about $17 million, a decrease from the original estimate of about $27 million. Total spending at Altar included administrative costs as a total about $15.9 million through the first three quarters of 2012 and is not expected to exceed $20 million for the year. Our recycling business had a respectable quarter, but it also has been hurt by the lower PGM prices. We recycle spent palladium, platinum and rhodium catalysts from automotive catalytic convertors and other industrial sources through our smelter and refinery in Montana. Recycling material processed in the third quarter totaled 96,200 ounces. Our PGM is down from 123,100 ounces recycled in the second quarter and the 133,500 ounces we processed during the third quarter of 2011. Company's recycling operations recorded revenues of $74 million and contributed net income of $1.9 million for the 2011 third quarter. Recycling revenues for the third quarter of 2011 were $107.5 million with net income of $4.4 million. Recycled material processed during the third quarter including tolled ounces averaged 14.8 tons per day compared to 22.2 tons per day processed in the third quarter of last year. Weaker PGM prices during this year's third quarter led to reduced volumes of recycling materials available for processing as the quarter progressed. Moving on to the balance sheet we ended the third quarter with available liquidity, which we define as total cash and cash equivalents plus highly liquid short-term investments of $274.7 million an increase from $158.6 million at the end of last year. Our total cash balance includes $45.9 million that is held in Canada on behalf of the Marathon PGM copper project and related properties and so it is not available for other corporate purposes. Total outstanding debt at the end of the third quarter was $203.3 million, an increase from the $196 million at the end of 2011. The Company's debt includes $166.5 million in convertible debentures and holders of these debentures will have the ability to redeem the notes at par in March of 2013. As I mentioned earlier a portion of our recently completed offering of $396.75 million in convertible notes will be used to repay the amounts expected to come due from the debentures in March of next year. I'd like to talk -- to provide an update on our development projects. We have given a fairly robust overview in our update released earlier this month and in today's press release, so I won't go into a lot of detail on the call. We continue to make progress on the Blitz project adjacent to our existing Stillwater mine. A newly acquired tunnel boring machine or TBM commenced operation earlier this month and will be formally commissioned later this week. The TBM will be used to drive a 23,000 foot access drift to the east of the existing mine workings. The project also will include a parallel tunnel of about 600 feet above the TBM drift and the new surface portal and decline that will intersect both of the new drifts at the far-east end. The project is now estimated to cost a total of about $197 million and is targeted for completion in 2016 or 2017. We are excited about this project which will provide the infrastructure for future operations to the east of the Stillwater mine and has the potential to add future production. Our other development project in Montana, the Graham Creek project is expanding to the west of the East Boulder mine. The TBM at the Graham Creek projects is moving forward on schedule and has now progressed about 5,700 feet of the total prime distance of 8,200 feet. This TBM drive should be finished during the first half of 2013. Two new ventilation shafts or raises to the surface will also be constructed as part of this project which is planned to be completed in early 2015. Total cost of the project is now estimated about $13 million. Work continues to move forward at our Marathon project in Northern Ontario. The environmental impact statement or EIS was submitted for review this past summer and that process is now moving forward. We also are working on a detailed engineering study that will produce the final engineering design, as well as an updated economic assessment for the Marathon project. As we announced a few weeks ago the preliminary findings of the study indicate that the palladium content was overestimated in the portion of the original resource and reserve to modeling work performed by a third party prior to Stillwater's acquisition in Marathon. In addition preliminary findings suggest a potential increase in the overall resource tonnage resulting from higher metal prices, that is in estimated metal recoveries and new drilling. All the timings today were preliminary and we must wait for the full detailed engineering study to confirm the effects of these findings which is expected to be completed during the first half of 2013. Overall we are pleased with the progress of this project to-date and are anxious for the next steps to the process. Now turning to Altar, our copper-gold exploration project in San Juan Province of Argentina. Activity at Altar was fairly limited during the third quarter, the results of last season's drill program were published in August of this year, and are available on our website as we have discussed, we've learned a lot from the last year's drilling program and the results are generally, encouraging. Drilling extended the mineralization to greater depths, than the original Altar discovery area, confirmed the presence of significance of a second distinct mineralizing center was somewhat higher gold grades in the Eastern portions of the Altar resource area and reconnaissance drilling penetrated a potential third distinct mineralizing center. However, drilling is yet to defined the (Inaudible) of the Altar mineralization. Next season's drilling program will focus on extending our understanding of the Altar resource at depth, as well as trying to determine Eastern boundary of the mineralization. As I mentioned exploration setting for the Altar project will be less than originally estimated this year. I'd like to mention that the process of converting our previous refinery smelter furnace to a slag cleaning circuit is nearly complete, most of the slag's handling changes have been made and are in progress. The electric arc in the reconfigured furnace has been struck and conditioning of the furnace is now taking place. We anticipate that this new slag cleaning furnace will be fully operational during December of this year, our engineers expect that this new process will yield an estimated, 4000 ounces of PGMs per year that would have otherwise remained bound in smelter slags. And added benefit of this work is that two active furnaces will provide redundancy in smelting operations. Before I conclude my prepared remarks, I'd like to provide a brief report on our safety record, the company's safety instant rate measured in terms of reportable incidence for 200,000 hours worked, averaged a rate of 3.3 for the first nine months of 2012, slightly better than the 3.4 for the first nine months of the last year and equal to the 3.3 rate experienced for the full year of 2011. I'd like to express appreciation to all of our employees for their constant commitment to safety, their dedication and their hard work is the reason for the company's success. Operator, I'd like to open up the call for questions.
Operator: (Operator Instructions) And we'll first to Sam Crittenden with RBC Capital Marketing. Go ahead please.
Sam Crittenden - RBC Capital Markets: Hi, guys. Thanks for hosting the call today. Just curious on Blitz capital update. I'm just wondering what prompted that change, I know it wasn't a major change, but just how confident are you in that new estimate of $197 million?
Frank McAllister: Yeah, it's pretty straight forward. The then Benbow decline that we're putting on the North side of the mountain that will intersect both of the other address coming back in the mine, both the, one in the 600 feet above the tunnel boring machine as well, the tunnel boring machine the cost of that has increased just a bit and we're quite confident in that number at this point in time, and it really emanates from the works that was done drilling on that site, that had to take place before we could actually get a final cost number. [De] I think that's about the [stand] of it, yes. That's about the estimate. So we've re-estimated a little small, but it was important for us to get it up so everybody knew about it Sam.
Sam Crittenden - RBC Capital Markets: Okay. Thanks for that Frank. And then other question on Marathon. So if there's a meaningful change in the palladium content, I'm just curious on your level of commitment to the project. And how you're thinking about making a construction decision versus some of the other options, I mean I guess you could look at the dividend or potentially another acquisition instead of funding that marathon project, just wondering if you could talk at all about that?
Frank McAllister: Yes, let me talk – ever so briefly about it. I'll ask Terry Ackerman also to comment on it. First of all, we don't know the true full impact of it until we get the reserved model defined once the engineering has been completed, so it's going to be sometime early next year, before we get to that point. The commitment to the project continues, obviously the EIS is – we're fully engaged in [EIS] we're also fully engaged in the engineering process, because it will be the engineering process that's going to allow us both to know just exactly what the impact would be as well as how aggressive we need to be going forward. Terry, anything else to add?
Terry Ackerman: I think that's fair.
Frank McAllister: Terry, is commenting that that's about the same. He would say about the same thing.
Sam Crittenden - RBC Capital Markets: Okay, so then in terms of a capital allocation decision. Would you consider looking at dividend and instead of funding the Marathon project does it also depend on metals prices, I mean how do you consider those two options?
Frank McAllister: Well, that's a very good question, first of all we would expect the palladium prices to trade up. And I commented on that earlier and I'm just simply saying that because it really has traded off a little bit against the platinum price. We've been seeing, the palladium price below that 40% threshold. It moved up to in late 2010, so it's been trading and have been trading between 40% and 45%, today it's up 38.5% and you could imagine, we measure that on a by minute basis, at least, in my office. So essentially we're expecting that too move up. I suspect the platinum prices will have to move up as we move forward, simply because even at these prices, these higher prices somewhat higher prices, the – operations in the South Africa and many of them are not in the black at this point of time and obviously are not meeting the requirements for sustaining capital and the operations down there. So the platinum price is likely to move up, the palladium price is likely to move up along with that, but will move higher in – expectation as demand emerges in the auto industry up against the platinum price. As that happens I think at that point in time, we would know better as to whether or not we would commit to a buyback of shares of dividend (Inaudible) to our shareholders. I wouldn't commit to that at this point in time because obviously we've got the Blitz and Graham Creek and Marathon at this point in time are on our plate and so I think we need to finalize that assessment and then know where the metal prices are. So a little bit of an uncommitted answer there, but at least you understand the dynamics of what we're looking at.
Sam Crittenden - RBC Capital Markets: Okay. Thanks guys appreciate the update.
Frank McAllister: Thank you.
Operator: Your next question is from John Bridges with JPMorgan.
John Bridges - JPMorgan: Hi, good morning, Frank. Greg, everybody. Just wondered the this understanding on the grades, palladium grades at marathon, what sort of order of magnitude or difference are we talking about – what if you've seen, which concerns you about the original estimates?
Frank McAllister: John there was an error in the calculation, that was made by the third party. And we discovered that in a process of simply making sure that as we went back into it, that we actually created our own model if you will. So we didn't depend up on the third party model we were creating our own model. And then actually going to a third party to validate that model in the process of that this error was discovered. At this point in time all my guys are just saying look wait until we get to the point to where we understand exactly the impact on the reserve before we talk about how much it was affected. There will be some less palladium and that we know, we do know there's more tonnage, we do know that the – and the tonnage comes from obviously higher metal prices as well, as additional drilling that we took there. So it's all sort of in an overall calculation at this point in time, it's very difficult for us to define just exactly what the impact is going to be. So we've in abundance of caution we're just simply waiting. I remain optimistic, let me just put it that far enough will beyond that, Terry anything else to say on that.
Terry Ackerman: Premature at this time.
John Bridges - JPMorgan: Okay. Hello--
Frank McAllister: Hi, John, I guess at this point in time, Terry has nothing further to say and it's really premature for us to do for anything further.
John Bridges - JPMorgan: Just a little piece of bookkeeping, you say that the, it's like cleaning furnaces is going to save 4000 ounces a year, or - -at 4000 a year, but I thought that you recycling that slag through the mine. So wouldn't it just be a – reduction in the amount of metal going around and not circulating load. A onetime saving?
Frank McAllister: I have to tell you what you're saying is exactly what I thought originally when we were putting this slag cleaning furnace on. And that essentially what we would be doing is accelerating that recovery rather than having to sending it back up to the mill. The reality is is that the slag cleaning furnace will actually recover a greater amount of the metal that's bound up in the slag than we can at the mill so number 1 is we get more out than we get at the mill just simply by doing in the cleaning furnace. In addition to that we will still get an incremental amount coming out from the slag that goes back to the mill as well. So in our calculation what we’ve done and said okay here is the amount of slag going back to the mine. What we calculate as the recovery from that slag going back up to the mine. What do we now calculate is being the recovery that we can realize from the slag cleaning furnace and the 4,000 ounces is the difference between the two. So it really truly is an incremental amount. Now I’d have to also add that the estimate is that the majority of that is probably going to come from the recycling business simply because there is greater loss in the recycling business when we get into adding the recycling materials in to our furnace. So to a certain extent this is recovery from some of the recycling ounces or more in the recycling ounces than the mined ounces. I’d also have to add to it that our ratio of slag – ratio of metals in the furnace is not the three to one that we have the ratio coming from the mine, but it’s a bit different because it’s now added in with the metal coming in from the recycling which is probably about 40% to 60% ratio. So to a certain extent it’s going to have a bit more platinum and considerable amount more rhodium, because we do receive a substantial amount of rhodium in the catalytic converter material. So it’s a good thing and it also pays for us than to have that furnace online as redundancy in case we have a need to take the main smelting furnace down.
John Bridges - JPMorgan: Okay, so the 4,000 is an improvement in efficiency. So presumably there is a one off gain as you pull that extra metal out of the circulating load, which would be an improvements in working capital. What would that be?
Francis McAllister: I don’t know the answer to that, that’s a great question. I will get the answer to that. But you’re absolutely right, there will be a one-off gain in the recirculating mode. I wouldn’t expect that’s going to be high, but it’s going to be important so we should have calculated that too John. Thank you for bringing that up.
John Bridges - JPMorgan: It will be useful the model anyway. Then just finally given the long term nature of the Altar project and the uncertainty that everybody is facing in Argentina. I am just wondering how committed are you to continuing to spend there and what would be the any penalties of not spending there for a year or two?
Francis McAllister : I am going to make sure Terry and Ralph check me on this, but I will give you sort of the take on it to start with. Obviously we’re watching all of the issues there very closely, our budget process is underway right now, so we’ve not yet committed to exactly how much they spend will be down there. We had enormously better efficiencies with our drilling program that took place during this past year, where we had estimated we might spend as much as $25 million and now we’re suggesting that that’s down to $20 million despite the fact that we increased our – the amount of drilling that we did on the project. So I think the issue is one of the project is a great project, obviously metal prices are off a little and we’re going to have to take that into consideration. Obviously, the changes in Argentina make us watch it very closely, so we’ll have to take that into consideration, but at this point in time the project really looks good, John.
John Bridges - JPMorgan: Okay, that’s the end of my questions, thank you. And I also thanks for the PGM market update that was very helpful.
Francis McAllister: You bet. John how was the – how is the weather there?
John Bridges - JPMorgan: Much better than last night. We’ve lost power but otherwise the house is still on its foundations, so we should be thankful for that.
Francis McAllister : Thank you for that update. Operator?
Operator: Thank you. (Operator Instructions) Our next question is from Richard Garchitorena with Credit Suisse. Go ahead please.
Richard Garchitorena - Credit Suisse: Thanks, good morning guys.
Francis McAllister : Good morning Richard.
Richard Garchitorena - Credit Suisse: I’ve some couple of quick questions, first on Marathon. The issues with the reserves, is that just sort of the palladium or is there any concern about copper content there?
Francis McAllister: It just palladium, and to a certain extent because of the price and some of the drilling we may actually have some improvement and some of the other metals, but it’s I headed myself by even saying that Richard.
Richard Garchitorena - Credit Suisse: Okay, that’s helpful. And then I guess if you had any color just on in terms of how this may play out with Mitsubishi you’ve obviously probably had discussions with them, but if there is a significant less put material there how do you see the potential scenario playing out there I guess.
Francis McAllister: Well, let me not speak for them, but let me just report on a meeting that we had on the 11th for the month. This is our normal regular Board meeting, joint venture Board meeting was held in Toronto and at that point in time they were focused strictly on moving this thing ahead as quickly as we could, and making sure that some of the issues that we have in terms of staffing for the project, in terms of the negotiations with first nations we’re proceeding ahead. So I am not going to put words in their mouth, but they were focused just as we were on making sure that we move ahead of the project and with all due diligence.
Richard Garchitorena - Credit Suisse: Okay, that’s helpful. Then my other question just related to the guidance for this year, obviously given the strong operating results this quarter, it implies for the full year that your production will come down in the fourth quarter and cash costs will increase. So is there anything specific you can give us in terms of guidance. Is it going to be great, I know –East Boulder grade I think came down a little bit in the third quarter, but is there anything else specific that could suggest us or push to that number or are you just being conservative?
Francis McAllister : We tumbled to that very point here, to your very point early this morning, we had a conversation about that we’re likely to get asking you know is production going to be off in the fourth quarter. Essentially what we’re saying is that in our guidance was 500,000 ounces that average is about 125,000 ounces a quarter. We’ve been ahead of that, we’re not saying we’re going to be behind that. I guess if you take it and divide it by four and say 125,000 ounces that’s probably is closer to what we would expect our real guidance is, and so, no we’re not going to suggest it’s going to be off, it’s just that we reiterated our beginning guidance. Thank you for the point because we’ll probably be a bit more careful in terms of that in the future.
Richard Garchitorena - Credit Suisse: No problem and that’s very helpful. Thank you.
Francis McAllister : You bet.
Operator: Mr. McAllister we have no further questions, please go ahead with any closing remarks.
Francis McAllister: I’d just comment, we’re very grateful for those who were able to make the call this morning, anxious about those who were not. Obviously this call will be rebroadcast for anybody that missed the call and would like to listen in. And we feel for those who are having problems in the New York area. Just a comment that things are going very well here, we’ve reported in quite some detail about our projects, about our operation, about the funding that we did earlier this month and everything looks very good. I would commiserate with those in South Africa and know that they’ve got some issues they’ve got to deal with. As we said [we visited] with them, we know them quite well, we know their situation down there. Obviously we don’t leave it first hand, but we know them well and wish them the best. We know they’re committed to a resolution and that makes us feel good because their production is terribly important worldwide. With that said operator thank you very much and I will turn it back over to you.
Operator: Thank you. Ladies and gentlemen, this conference will be available for replay afternoon today through mid night November 6. You may access the AT&T executive playback service at anytime by dialing 1800-475-6701 and entering the access code 267982. International callers dial 320-365-3844 using the same access code 267982. That does conclude our conference for today. Thank you for your participation and for using AT&T Executive Teleconference. You may now disconnect.